Operator: Good day, and welcome to the Vail Resorts' First Quarter Fiscal 2015 Earnings Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Rob Katz, CEO. Please go ahead sir.
Rob Katz: Thank you. Good morning everyone. Welcome to our fiscal first quarter 2015 earnings conference call. Joining me on the call this morning is Michael Barkin, our Chief Financial Officer. Before we start, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and subject to a number of risks and uncertainties as described in our SEC filings and actual future results may vary materially. Forward-looking statements in the press release that we issued this morning along with our remarks today are made as of today December 8, 2014 and we undertake no duty to update them as actual events unfold. Today's remarks also include certain non-GAAP financial measures. A reconciliation of these measures is provided in the tables included with our press release and in our annual report on Form 10-Q filed this morning with the Securities and Exchange Commission and is also available on the Investor Relations section of our website at www.vailresorts.com. So with that said, let's turn to our first quarter fiscal 2015 results. Our first fiscal quarter is historically a loss quarter since our mountain resorts are not open for winter ski operations. The quarter is driven primarily by our summer mountain activities, dining, retail, and lodging operations, and administrative expenses for our year-round employees. Our Resort Reported EBITDA loss for the quarter was consistent with our expectations, reflecting strong operating results and the addition of Park City, which operated at a loss for the quarter. Mountain segment net revenue in the quarter increased 5.3% to $60.4 million, compared to the prior year, driven by an increase in our summer activities revenue of 31.2% compared to the prior year, along with strong pre-ski season retail results. Our Lodging segment net revenue excluding payroll cost reimbursements increased $1.5 million, or 2.7%, driven primarily by a strong finish to the summer season at the Grand Teton Lodge Company. Turning to our Real Estate segment, we are pleased with the continued level of sales activity at both of our development projects. In the first fiscal quarter we closed on two sales of Ritz-Carlton Residences, Vail units and two One Ski Hill Place units in Breckenridge. Net Real Estate Cash Flow totaled $5 million for the quarter. We continue to see positive momentum in our resort real estate market and closed on two additional One Ski Hill place unit subsequent to October 31, 2014. I am also very pleased to announce that our Board of Directors has declared a quarterly cash dividend on Vail Resorts' common stock. The quarterly dividend will be $0.4150 per share of common stock and will be payable on January 12, 2015 to shareholders of record on December 29, 2014. Now turning to season pass sales. Our season pass sales results continue to be very strong growth as sales including 4-Packs are up approximately 13% in units and 16% in sales dollars through December 4, 2014 compared with the similar period in the prior year and including results from Park City in both periods. The biggest driver of our growth was new pass sales in our US and international destination markets. These results were boosted this fall by the addition of Park City Mountain resort to our pass product driving significant interest from our destination market as well as in Utah. We continued to see very strong growth in Minneapolis and Detroit. In Colorado, we saw very healthy growth and in Tahoe we experienced only a modest decline, which was better than our expectations, given the very challenging conditions in Tahoe last season. Our season pass program now has over 400,000 pass holders and will generate more than $200 million in revenue in fiscal year 2015, far surpassing any other season pass program in the industry. Our growth in the program is a testament to our strategy of consistently adding benefits to our season passes, primarily through our most recent resort acquisitions and continuing to improve our personalized and data-driven marketing efforts. As a reminder, revenue from season pass sales is recognized over the course of the second and third fiscal quarters. Apart from season pass sales, advance lodging bookings for the season are also looking positive with good momentum across our properties with strong rate growth as well particularly in the Colorado markets. Based on historical averages, approximately 50% of the bookings for the winter season have been made by this time. Now I would like to turn the call over to Michael to further discuss our financial results and our fiscal 2015 outlook.
Michael Barkin: Thanks Rob and good morning everyone. Before discussing our results and guidance, I want to remind you that you can find a full discussion of our financial results for our first quarter fiscal 2015 ended October31, 2014 in our quarterly report on Form 10-Q, which we filed this morning with the Securities and Exchange Commission. Our Form 10-Q and our earnings announcement can be found on our website at www.vailresorts.com. As Rob mentioned, we are very pleased with our results this quarter. Mountain net revenue in the quarter increased 5.3% to $60.4 million, driven by growing summer visitation, associated dining revenue and strong retail activity. Our results were favorably impacted by increases in summer visitation at both our Colorado and Tahoe mountain resorts and increase group business in Utah compared to the same period in the prior year. Retail and rental increased $0.6 million or 2% for the three months ended October 31, 2014 compared to the same period in the prior year. The increase in retail sales was driven by an increase in sales volume at our Colorado Front Range and Colorado resort stores, which benefited from strong sales at pre-ski season sales events, offset by lower sales at our store in the San Francisco Bay Area. Total lodging net revenue excluding payroll cost reimbursements for the three months ended October 31, 2014 increased $1.5 million, or 2.7% as compared to the three months ended October 31, 2013. This increase was primarily due to a strong finish to the summer season at GTLC and strong results from CME, our transportation business. Our first quarter resort reported EBITDA was a loss of $54.1million including $16.4 million non-cash gain on Park City litigation settlement. Excluding this gain on Park City litigation settlement, resort reported EBITDA was a loss of $70.5 million, an increase in our loss of $4 million or 6% as compared to the prior year. Resort Reported EBITDA for the quarter included operating losses from Park City and $3.1 million of litigation, integration and transaction related costs. The non-cash gain on the Park City litigation settlement represents the estimated fair value of the foregone rent from PCMR that the company may have been entitle to and was forgiven as part of the acquisition and ultimate settlement of the litigation. Our net Real Estate cash flow was $5 million for the three months ended October 31, 2014, a decrease of $2.5 million from the same period in the prior year. Real Estate Reported EBITDA was a loss of $2.2 million for the three months ended October 31, 2014, an increase in the loss of $1.8 million as compared to the same period in the prior year. Finally, net loss attributable to Vail Resorts, Inc. was $64.3 million, or a loss of $1.77 per diluted share, for the first quarter of fiscal 2015. Our balance sheet remains very strong. We ended the quarter with $29.8 million of cash on hand, and $183 million in borrowings under the revolver portion of our senior credit facility. Our Net Debt, including the capitalized Canyons obligation, was 3.1 times trailing twelve month Total Reported EBITDA excluding the non-cash gain on Park City litigation settlement, and does not include the contribution from a full year of Park City operations. We are also pleased to reiterate our guidance for fiscal 2015. Our guidance originally issued in September 2014 remains unchanged. We expect fiscal 2015 Resort reported EBITDA will be between $340 million and $360 million, which includes approximately $5 million of litigation, transaction and integration expense, and excludes the $16.4 million non-cash gain on Park City litigation settlement. Now I'll turn it back to Rob.
Rob Katz: Thanks, Michael. I first want to go overall the amazing improvements to our resorts the guests will see when they come for vacation this season. Most notably, we were thrilled to welcome the first skiers and riders of the year to Park City as we begin our first season with Park City as part of the Vail Resorts family of mountain and as part of the Epic pass. While Park City and Canyons are not connected for this year, guests can ski both resorts on the same single day or multi day lift ticket which we think offers a great benefit for visitors to Park City and across Utah. Guests in Breckenridge will enjoy the new upgraded six person Colorado chair that will alleviate crowd at the resort central base area and help skiers and riders enjoy efficient access to Peak 7 and Peak 6, our incredible terrain expansion which will be in its second year of operation. In addition, Beaver Creek enhanced its best-in-class guest experience with the addition of the new combination gondola and six person chairlift replacing the old Centennial chair right at the base of the resort, significantly increasing uphill capacity and providing guests with softer and easier access to the upper mountain from the village. We've also made significant investments this year in snowmaking at Beaver Creek, renovated a major restaurant at Breckenridge, upgraded room at the lodge at Vail and continue to invest in our data analytics and marketing tools, most notably our express ticket platform which allows guest to purchase their lift ticket on their mobile device all the way up to the day they are skiing and skip the lines with express pick up, much like you see at the movies concerts or sporting events. We also added EpicMix guide, our latest upgrade to our groundbreaking and award winning app which will allow guest to put in their skiing ability and preferences and receive suggest itineraries put together by our ski schools. While the 2014-15 ski seasons have just barely begun, we are already hard at work planning for the guest improvements we will make for the 2015-16 ski season. I am thrilled to announce that the center piece of those efforts will be our plan to transform Park City and Canyons into the single largest resort in the United States along with numerous other high impact upgrades that will only further elevate the combined resort to one of the top resort found anywhere in the world. These transformative plans which were made subject to regulatory approval includes a new eight passenger two way gondola that will connect the two resorts, creating a new destination resort with more than 7,300 acres of skiable terrain. The capital plan also includes the upgrade of a high-speed quad chairlift to a new high-speed six person chairlift. And an upgrade of a slower fix grip triple chairlift to a high-speed detachable quad chairlift. Both of these upgrades will increase lift capacity in critical areas of Park City. The plan also includes a new 500 seat restaurant in Park City near the proposed gondola and upgraded chairlift. A 250 seat expansion of an existing restaurant in Canyons and an expanded maintenance plan to address the lack of spending at the resort over the past number of years. We estimate the total cost of this transformational plan for calendar 2015 will be approximately $50 million, including normal annual maintenance and excluding any third party reimbursements. Based on our estimate for Park City and Canyons, we expect the two acquisitions will add $70 million in total EBITDA in fiscal 2016, and increase our ongoing annual capital target by $6 million. Our preliminary estimate for the remainder of our calendar year 2015 capital plan totaled between $60 million and $65 million, including estimates of third party reimbursement, but excluding investments in summer activities and the one time $50 million investment in Park City and Canyons I just outlined. While we will provide additional details in March 2015, a signature part of the capital plan will be replacing the Avanti Chair or Chair 2 at Vail Mountain, going from a four-person to a six-person high-speed chairlift, increasing capacity by approximately 30% at one of the most popular beginner and intermediate areas of the resort and a critical link as people make their way from Lion's Head to the Back Bowls Blue Sky Basin. As you know, we set annual capital guidance last year at $85 million and said that figure would be adjusted for inflation and increased as we added new resorts. We also said that the $85 million would exclude any investments for summer activities and any one time improvement that we made as a part of an acquisition. With inflation and the impact of adding Park City, we would have expected normal capital spending to be about $93 million for capital for calendar 2015. While our guidance specifically excluded one time capital program like the $50 million capital plan for Park City, we are very focused on maintaining strong discipline and prioritization in our capital decision and therefore made room for $30 million of the Park City plan from within our existing capital target, with only $20 million of the Park City spending going above the guidance. After any new acquisitions, we would expect capital spending excluding summer to be about $96 million in calendar of 2016. As we wrap up, I am pleased to report that the season is off to a strong start with all of our resorts open. Colorado condition have been outstanding, with one of the best Thanksgiving ski experiences we've had for quite some time with the Back Bowls at Vail open for the holiday and Blue Sky Basin opening last week. Utah also has good early season conditions with more terrain open this year than last year. Tahoe's condition have developed later than Colorado or Utah, but a recent storm has brought good snow to all three of our resorts there and of course it is still very early in the season for that market. Finally and most importantly, our intention to service and our commitment to delivering an outstanding guest experience will continue to be the hallmark of our company and the focus of all our efforts. I would like to thank all of our employees for their passion, hard work and commitment to our organization which is always lies at the center of our success. And we look forward to a great 2015 season ahead. Operator, we are ready for questions.
Operator: [Operator Instructions] And we will take our first question from Felicia Hendrix from Barclays.
Felicia Hendrix: Hi, good morning, everybody. Rob, since you ended on Utah, I will start there. I was just wondering if you could go into some more detail about your projection to $70 million in EBITDA from Park City/Canyons in 2016. You've said before you expect to generate $35 million at PCMR in 2015. You generated $50 million at Canyons last year. So just wondering does that mean you expect your expansion plans in Utah are going to generate $20 million in incremental EBITDA in year one?
Rob Katz : That's I mean possibly, yes. I mean that's -- I am not going to every little detail how we came up to it, but yes that's exactly right. Those are the two previous pieces of guidance that we gave. We told them, we get to $50 million and yes we do think that the plan and additional maturity and of course business development that we've already been doing will bring the EBITDA up to $70 million.
Felicia Hendrix: Okay. And I think in the press release you kind of intimated that while it was a first look could be conservative. I mean as you kind of look forward, is there any way to help us kind of think about how that could grow?
Rob Katz: No. I think it will -- my guess is we can continue to more broadly chat about. What I would say I think it is not that the $70 million is conservative but that we obviously feel like that the first year impact of this plan whatever it is will obviously have additional upside as skiers and riders from around the world continue to learn about the experience that we are providing in Park City. And so that's true both season pass sales, that's true for daily lift ticket sales, I mean all of definition skiers, local skiers, so we feel like this as -- I think we believe that this is really creating one of only handful of top destination resorts in the world both in terms of experience but also in terms of the financial performance. And obviously very unique situation.
Felicia Hendrix: Yes, obviously. Thank you very much. And just moving to your -- the season pass sales. We saw that the 13% increase in unit sales is impressive particularly given how well you did last year. You mentioned in the release and also in your remarks that that was primarily driven by your domestic and international destination resort. Just wondering if you could into some more detail there in particular what was driving -- what's been driving the good numbers?
Rob Katz: Yes, sure. No, not a destination resort but it's been driven by destination guest meaning guest that live outside of Colorado, Utah or Bay area. And so that has been the big driver of our success over the last couple of years. I mean it's really transformed our season pass program and of course it has been happening over the last seven to eight years from primarily a local program to now obviously much more of a destination program. And we saw terrific strength both in the spring and then I think when we announced our results at the end of September, I think our expectation was we might see a slowdown. Obviously, as the numbers get bigger over the overall plan to maintain that growth rate is usually more difficult. But we saw tremendous enthusiasm following the announcement on the Park City acquisition, and the fact that Park City Mountain resort is now going to be on the pass, and so that really maintain our strength. I would say Detroit and Minneapolis continue to be some of our best performing market. But we saw strength across all of our major market, and across our international market. I think the destination market both in the US and internationally generated close to 65% to 70% of our total growth that we actually reported for this year.
Operator: And we will take our next question from Shaun Kelley with Bank of America/Merrill Lynch.
Shaun Kelley: Hey, good morning, guys. I think Felicia hit on a bunch of the salient points here. I guess one key follow-up would be so for Park City and Canyons, did you say that the approval of the CapEx plan is subject to regulatory? And could you just -- is there any chance of slippage here? Either be environmental given the scale and scope of what you're doing or be it regulatory or something else that we are not factoring? I guess just walk us through what's some of the risks around that plan might be?
Michael Barkin : So the plan would need to be approved by both the city of Park City and Summit County, this is not the Summit County in Utah and not the one in Colorado. And we obviously have been in dialogue broadly with the community and obviously are taking input and feedback about the plan. We feel good about the timing. But with that said, obviously there is -- I can't say there is no risks, we are committed to making sure we do thorough process with the community and that everybody feels good about what we are heading again I think we have a sense that this is headed in the right direction. The process that we would go through with Park City and with Summit County is not as complex as the processes we go through with the US forest service. One, I'd say and the other piece I'd say that obviously we feel like we started early, we started very quickly to try and get out and make sure everybody understood where we try to head, so we would have enough time to put this all -- the entire plan together. Is there any risk? There is always risk. Obviously, that's why we always that it is subject to those approvals. But at the moment we feel pretty good.
Shaun Kelley: Got it, that's really helpful. And then second question would be on sort of on CapEx and summer. If you could just give us -- I think you gave us very detailed capital guidance now for the Park City and Canyons component, and we have a good sense of your maintenance base. And that kind of leaves us with what do we expect or what should we be thinking that you will have to spend for summer in the next -- I guess in calendar year 2015. So could you give us an update or your thoughts generally around that? And then just any update on summer overall as you've been going through approvals for that would be helpful as well.
Michael Barkin : Sure. So we would expect to be announcing and then implementing a good portion of the Vail summer activities plan this summer 2015. So with the approvals for Vail in hand, I think we are ready to proceed on that. And so I think that the majority of the spending that we'll have this summer will be for Vail. I think the approval processes for Both Heavenly and Breckenridge are coming after Vail and whether we have either one of those in time to actually get going on them after this summer is not completely clear yet. So that's why I think we will be talking more about that in March. So I'd say this summer, at a minimum the focus will be on Vail. And certainly a number of the critical activities that we've gotten approve there, I think the plan will include that. And we will provide more details and some guidance around that in March.
Shaun Kelley: And just as a reminder, Rob, the total capital number for summer was $50 million, so roughly $15 million per resort for the major -- for the big three. Is that correct?
Rob Katz: No, it was $25 million per resort for the big three, but obviously we spent some of that already. And the plan that we -- let say for Vail, the plan that we would be implementing this summer would not be the total plan --we would be doing the portion of it, which we will announce in March, and then there will be portion of that it will come in the next year or two. It will be chunk of that $25 million.
Shaun Kelley: Okay. Got it. And my last question would just be, you gave a little bit of color on bookings, not a ton. Could you just help us understand if those are running ahead or below your general expectation? And that's it for me.
Rob Katz: Yes. I'd say that -- I think we still bookings are strong. I think particularly certainly in Colorado and Utah where we have more vision into what's going on I think across the board we are seeing both I think the impact certainly of the economy, I think the momentum that we build from last season, I think we are also seeing obviously some good early season condition that obviously also helps booking. And as we commented on obviously when we see rate continue to increase, that's typically the sign obviously right that product categories are filling up. So I'd say right now that where I think it matters most in Colorado and Utah, we feel very good.
Operator: Our next question comes from Scott Hamann.
Scott Hamann : Yes, thanks. Good morning. Just two questions. First one on Park City, Rob. Just in terms of kind of the status of the assets there, what's the local reception been? Employees, management at the resorts, kind of what's your lay of the land now that you've been in there for a little while? Then secondly, on the season pass program, I know you've been looking for some penetration in new regions like the Southern California area and internationally in some new areas. Have you seen that diversification with Utah becoming a bigger part of the pass this year?
Rob Katz: Great. So, yes, from the first piece we are very, very pleased. I think there is no question that there has been a lot of anxiety obviously in the Park City community and certainly a lot of anxiety for employees at Park City Mountain resort over the last couple of years and certainly this past summer. I think there is a lot of relief obviously that the resorts will be opening, one. Two, I think that there is a real sense of collaboration, there is a sense of really trying to come together work for the future. Our company is now really gotten incredibly engaged with both our employees there in terms of helping to set the new leadership team for the combined resort which include a number of key leaders from Park City Mountain resort and working with the local nonprofit community, working with Park City, working with Summit County, working with the state. I mean right now we feel very, very good about all the dialogue and engagement that we across the board. And so I think we really feel like we are starting off on the right foot. And obviously that doesn't mean there won't be things that we will discuss and debate and disagree over. We do that in every one of our resort communities and obviously that's part of a healthy relationship. And so but again couldn't be happy about that as it stands right now. I think on the season pass fees, we are very pleased, so yes I think we've been absolutely reaching out, making a bigger effort across our international markets, very happy with what we are seeing out of the UK right now. And the UK because of their economic issues it has been a more challenging market over the last number of years. And this is really the first year or maybe the second year, last year we saw some of this is, but this is really the first more significant year where we are seeing real momentum both in bookings and in season pass sale. The other market that I'd say we are very pleased with is Australia, seeing again some real engagement, some real momentum out of that market, it is obviously a critical market in terms of the level of outbound ski trips that are taken from that market. Southern California, yes, very good results but I'd say much more at the beginning. I think that's the market that will take number of years to fully bring into -- we only -- unfortunately the Park City acquisition only close towards the end of -- middle of September. So it really didn't give us much time to really attack that market as we would like to. On the other side, I'd say I think we do attribute on the Tahoe side, we saw real pickup in sales in that market in the Bay area once we add at the resort, I think one of -- probably the quick surprises that we seen is how much adding Park City and Canyons to the pass, helps our season pass sales and engagement in the Bay area San Francisco market. So I think that's been a quick win right away. I mean then I'd say broadly speaking, we obviously very, very pleased with overall numbers. And we think the LA Southern California market offers just another opportunity over the next couple of years.
Operator: And we will take our next question from Chris Agnew with MKM Partners.
Chris Agnew: Thank you very much. Good morning. And first question I wanted to ask about EpicMix, and see if you could share with us any metrics to illustrate the penetration and the reception of the app amongst skiers and guests. And do your other competitor resorts companies have anything comparable to your product? Thanks.
Rob Katz: Sure, thanks. I don't have -- I get back to you with some of our updated numbers on that. But we've been very pleased with the penetration on the app. I'd say the app really helps us in two ways. One is that it provides reason obviously for people to -- people enjoy using it and tracking their day. People -- it gives people a reason right to give us more information on them so they can use the app and engage with the app, people then share their photos and their pins and other accomplishment on Facebook and Twitter, so obviously they are promoting our resort. And then most importantly for us, it gives us a thing that when we talk to our guests we have more to talk to them about than just trying to get them to buy something. So for instance, when we send out an email, it allows us to tell a guest, hey, remember, you were here last year. Here is your photo, you skied 40,000 vertical feet, here were the pins that that you had and what we see is an open rate on those email on that twice is big, twice as high. As the open rate on our email that don't have the EpicMix information in there. So from that standpoint again very, very pleased. In terms of other competitors, I think there are number of resorts that have similar efforts but nothing that's anywhere near as comprehensive and certainly in our mind the user experience, the design and as broad most particularly on the photo side, I think one resort that has taken up is Perisher, Australia that I think is very clear that they took a lot of what we have done here and have replicated them in Australia, and I think it's going great for them there too. So we are quite happy with it.
Chris Agnew: Thanks very much. And last question. What's your appetite, or maybe I should ask capacity to explore incremental real estate opportunities, and how would you balance the long-term opportunity versus where we are in the economic cycle? Thanks.
Rob Katz: I think where we see the real estate side of our business going is much more of a focus on land development rather than necessarily vertical development. I think that given the number of resorts that we have I think we've been pretty clear for while that we don't see putting real estate projects on our balance sheet today like we did over the last couple of years. Back in the last year of the last kind of real estate cycle back in 2006 to 2008. I think that our focus is going to be on getting great projects done. We certainly might invest capital in some of those projects. We invest our land, but I think our approach is going to be on the little bit more capital light and getting the maximum benefit that we can get for the resort. But we absolutely intent to remain very active, very engaged in that business. In terms of where we are in the cycle, I think we are seeing real strength at our -- at across all of our market. And I think we have absolutely passed a few thresholds in terms of new projects getting started. And we have most -- a lot of those are renovations of existing projects or more unique situation. I don't think we -- we are not back to 2006, 2007, and 2008. But if I give comparable maybe we are back in 2005 type arena where I think there is a lot of interest and a lot of dialogue. I think that's a huge opportunity for us. Again, certainly to monetize some of our land but much more importantly -- that the industry has gone a long time without seeing new product, new lodging being developed. We feel we can be on the front of that trend, and that typically translates into resort EBITDA growth for the mountain because obviously they drive more people to come and visit.
Operator: Our next question comes from Bob Lafleur with JMP Securities.
Bob Lafleur: Hey, guys. As we think about the growth in EBITDA in Utah from this year to next, how much of that $20 million is dependent on the CapEx you're putting into the mountain versus how much of it is from just kind of your second year of fully being integrated into the Vail system?
Rob Katz: I'd say big chunk is related to the capital and there is no question that we would see higher than normal growth at Park City/Canyons next year even without the capital. So we would certainly expected to be our fastest growth resort from the profitability perspective, but I'd say in terms of making that big an impact in one year, yes, big chunk of that is really coming from the capital plan because of what that does to the experience.
Bob Lafleur: Okay. And just related to the capital plan, just because I have no idea, how long does it take to build a 500 seat restaurant from scratch, and when do you have to be moving dirt in order for that to be open on time for next season?
Rob Katz: So again our expectation right now is that based on how we see the approval process and our discussions with the community, we certainly anticipate that we have enough time to get the restaurant open for next season. And in that case obviously that the restaurant is new. And so even if there are some delays from getting it open let say for Thanksgiving in November, even if it slips little bit that will be fine vis-à-vis impacting the full season for next year. So we actually -- we feel very good about the timing on that. Of course, obviously there we do need to certainly get the -- get the support of the local communities which is critical, but we feel comfortable that we have enough time to get back kind of construction project completed.
Bob Lafleur: Assuming the approvals is forthcoming, do you at this point need to wait to the spring to break ground or is that something that can be started during the winter?
Rob Katz: No. That something we would need to wait to the spring.
Bob Lafleur: Okay. And then the last question I have is on your pace of season pass sales. We went back and looked at last year and the September update versus the December update. There was a deceleration in the growth rate last year which was more pronounced than it was this year. I was wondering if there's anything to read into that, is maybe that a function of just sort of the late selling season inclusion of Park City, or was there some other dynamic at work there that was different than the season pass selling dynamic last year?
Rob Katz: No. I'd say I think that Park City was the one of the primary drivers of the strength that we saw in the fall of this year. And I think that did help acceleration. I'd also say that we obviously as the program continues to grow every year replicating the same growth rate is even bigger challenge in terms of obviously driving that many more passes and the program. And I think all of this is really -- we see this as the combination of a number of the acquisitions that we have done, a lot of our data analytics and CRM efforts are to really drive both higher repeat and new people into the program.
Bob Lafleur: And I lied. I had one more that I just thought of. Can you give us your current thoughts of your pace of return of capital to shareholders? And then that's it from me.
Rob Katz: I think we feel very good when we look over the last number of years in terms of our approach to increasing our dividend. And I think we closely monitor our free cash flow and we think absolutely look to adjust the dividend based on that, I think we will be doing certainly taking a look at that again in March or June whenever it is in this year with our Board, and I am sure we will remain in the posture that we have been which is although we certainly want to retain capital or continue to invest in our business. And we are also and probably committed to returning capital into increasing that dividend when we can.
Operator: [Operator Instructions] We will take our next question from Afua Ahwoi with Goldman Sachs.
Afua Ahwoi: Thank you. Just a couple from me. First, on the Park City, a little bit on the $20 million or the new -- the updated guidance, how much of that do you think will come from raising prices as a result of some of these investments or drawing new people into that market that weren't going there before, and now because of all these new investments, it does look much more appealing to them. And then second, as we think about what combining them, given there is a blueprint for that happening before in terms of Whistler and we saw the lift in benefit that did to the Whistler Blackcomb entity. Do you think -- what would be -- do you think we can see similar benefits to Park City? What structural reasons would prevent from becoming as big or profitable as a driver as sort of Park City or as Whistler Blackcomb was when they combined their two mountains? And then finally, I noticed in your comments on the CapEx you did mention that you saw a CapEx outside of new acquisitions. So just curious where do you stand on acquisitions? Are you still looking at some of the urban resorts? Is there anything out there that you're looking at? Do know there's a seller out there? So just curious your thoughts on that. Thank you.
Rob Katz: Sure. Yes, on the improvement and profitability from Park City/Canyons, we absolutely see it really as a combination. We are not going to get into more details on that, but we do see a combination of pricing. And I would say it is not necessarily price increases but yield right, so I'd say we as we bring in more destination guests into the market as destination guest buy season passes from outside market and then you kind of come to Park City, we also see as our season pass grow that lot of these destinations get take longer trim, spend more time at the resort. We have pretty clear data that shows the season pass sold spend more on ski school, on retail, on rental, on F&B lodging, I mean so really we see this is a benefit to the overall community. But, yes, it is a combination of all those factors that I think will help drive thing. On Whistler Blackcomb, yes, harder -- I'd say we do think that this opportunity and this combination is, yes, certainly as significant as impactful and somewhat maybe more so than the combination of Whistler and Blackcomb was years ago. And we feel like comparing that the exact profitability structure of the two mountains as many, many factors that would go into them including the size of the town and international inbound, local, all these different things, position that Whistler Blackcomb has in Canada. So that-- I'd say this will be like Whistler Blackcomb, like Vail, like Breckenridge, like Beaver Creek, like one of the top destination ski resort certainly in North American. And then on acquisition, yes, we absolutely continue to look at opportunities. We are very focused that anything that we acquire is something that very much on our core strategy of either adding value to our season pass in terms of adding benefit that our guest would see, driving more people like the urbans to our destination resort, but it is -- we are very disciplined and very discerning in terms of what we think make sense. Not just what a resort -- not just whether it is a good resort or not but how does it fit within our core strategy. And to the extent that we find something that we did make sense for that and obviously the price and all the other factors can aligned and yes we intent to be as aggressive as going forward as we have been in the past.
Operator: [Operator Instructions] That concludes today's question-and-answer session. Mr. Rob Katz, I would like to turn it back over to you for any additional or closing remarks.
Rob Katz: Thank you, operator. This concludes our fiscal first quarter 2015 earnings call. Thanks to everyone who joined us on the conference call today. Please feel free to contact me or Michael directly should you have any further questions. Thank you for your time this morning. And good bye.